Company Representatives: Brent Shafer - Chairman, Chief Executive Officer Mark Erceg - Chief Financial Officer Don Trigg - President Travis Dalton - Chief Client and Services Officer Allan Kells - SVP, Investor Relations
Operator: Welcome to Cerner Corporation’s First Quarter 2021 Conference Call. Today’s date is May 05, 2021 and this call is being recorded.  I’ll now like to turn the call over to your host, Allan Kells, SVP, Investor Relations. 
Allan Kells: Thank you. Good morning everyone and thank you for joining us. On the call with me today are Brent Shafer, Chairman and CEO; Mark Erceg, our new Chief Financial Officer; Don Trigg, our President; and Travis Dalton, our Chief Client and Services Officer. Brent will start off the call with observations of our business and the market place, then hand it over to Mark to provide more detail on our results, outlook and capital allocation plans. We’ll then transition to Q&A and be joined by Don and Travis. 
Brent Shafer : Thanks Alan and good morning everyone; thank you for joining us. Well, as we all know we are now a year into the pandemic and personally I remain so impressed by the resilience of our clients on the front lines and the efforts of our associates around the world supporting them. And as we move past the worst of the pandemic, hopefully in most regions, an increasing portion of our role and assisting clients has been related to vaccine distribution.  Now we've helped over 175 organizations with our mass vaccination solution, allowing clients to deploy and track vaccinations, document and report reactions and communicate with patients. We've also continued supporting our community and in partnership with local providers, and very proud to say we've now delivered over 90,000 COVID vaccinations as part of the Operations Safe initiative I mentioned on our last call.  As we discussed throughout the year, the pandemic accelerated many trends in healthcare that Cerner has been actively monitoring in building out capabilities to support for years. Among these is that providers face increasing pressure on cost and revenue, heightened consumer expectations and shifts in care venues. So we continue to believe that we're well positioned to help our clients navigate these challenges, while also enabling them to deliver improved clinical outcomes.  Now for example, our real-time health system offerings bring near real time enterprise transparency to help health systems perform at their peak efficiency and streamline operations and improve care delivery. In addition, our health networking capabilities enable our clients to coordinate across – care across multiple organizations regardless of the core EMR and help them optimize for either a fee for service or value based payment model. 
Mark Erceg: Thanks Brent and good morning everyone. Today I will cover our first quarter results and provide a guidance update, but first I’d like to share some early observations from my first two months at Cerner.  First, the people are incredible. Cerner associates are dedicated, passionate professionals who are fully committed to the cause, which is merging technology with healthcare to improve outcomes for those we serve and love. As Brent often says, “Cerner is striving to bring the joy back to practicing medicine” and that is a mission I can proudly lend my full efforts against.  Second, the business is fundamentally sound. Cerner provides real solutions to real problems. Cerner has deep technical know-how, unique capabilities and significant competitive advantages, as well as an exceedingly strong balance sheet.  Third, while Cerner does have the associates and the capabilities, and has created significant value for clients and shareholders since its inception, there is a clear recognition that a lack of focus and at times sub-optimal execution has caused revenue growth to slow and margins to compress, which in turn has resulted in bottom quartile total shareholder return versus our proxy peer set over the past several years.  This understanding is what led the board, Brent and the senior management team to initiate a series of actions to improve results. I believe the actions taken so far are a good start and I am excited to play a role in increasing the pace of change so Cerner can realize its full and considerable potential faster. We believe these actions will allow Cerner to help more people than ever before, whilst also generating leadership levels of Total Shareholder Return. 
Operator: Thank you. . Your first question comes from the line of Dave Windley of Jefferies. 
Dave Windley: Hi! Thanks for taking my question. I wanted to ask around, kind of industry trends toward value based care and value based reimbursement, which when we listen to some of the payers, as well as the providers, the thought seems to be that that is accelerated by COVID and in turn could be a stimulus for some of your more advanced analytics population health type software. So I'm wondering what you see through a software healthcare IT lenses of the trends toward value based purchasing and value based reimbursement. 
Don Trigg : Hey Dave, this is Don. That’s a great question. I think I sort of echo some of the industry level sentiment that you're describing. I think we're seeing a lot of market interest in that topic. You know providers have worked through surge recovery and to sort of, I'll call it margin expansion strategies inside traditional fee for services. They’ve look to recapture electives, but they are absolutely thinking on a parallel path about strategies around value and alternative payment models.  And so a lot of nice traction as you described for our EDW and advanced analytics capabilities; a lot of interest in healthy referrals and how you think about referral activities across your provider network, and we think over time a lot of traction around care management as they start taking elevated levels of first dollar risk. So I think some nice post COVID tailwinds that will help the network business and those product offerings as we play through the year. 
Dave Windley: Don, I appreciate that. Is there a potential to put – I don’t know, put numbers on either bookings or client’s uptake on some of those products you just listed off. 
Don Trigg : Well, we recall that on a full year basis and last year we did 24 new footprints for healthy intent and I have every expectation we’ll exceed that number this year, and at the solution level I think there is some prioritization that you see playing out. I think there's a lot of interest and EDW. That is our most aggressively deployed solution.  A lot of interest in referrals, because it has a benefit both for fee for service use cases and fee for value, and then frankly a lot of weighted pipeline activity that Travis and team have been advancing around our maestro offering and our relationship with Lumeris, because I think providers still see Medicare advantage as a really logical starting point for how they think about moving into risk. So those would be the three areas I’d particularly emphasize. 
Operator: Your next question comes from the line of Stephanie Davis of SVB Leerink.
Stephanie Davis: Thank you guys for taking my question. Don, not to put you in the hot seat, but I've always thought of Cerner’s President role as being kind of on deck with the CEO scene. So first, is there a reason Cerner will go external versus internal for the CEO search. And maybe could you tell us a little bit more about the search priorities for the CEO role. And then I’ve got one follow-up for you.
Don Trigg : Sure, I can start. I think there's a thoughtful process that's been put in place by the board. Looking forward to seeing that play itself forward. I think in my conversations with the board and with the brand, I think we’re all aligned. This is a really interesting opportunity for the company. We're very well positioned to be successful in the quarters ahead, and I think the whole management team’s excited about continuing to deliver against the plan that we've been working on this year.  And you had a follow-up I think?
Stephanie Davis: Yes, so that having been in the seat before, I know there are many different types of CEOs. I know there’s a strategy focus CEO, there’s a portfolio manager CEO, kind of how do you see this role evolving from where you're looking at today. 
Brent Shafer: Well, we made I think really great progress in clarifying our strategy and our direction and proving our emphasis around operations. There is a lot of work to do on the operational side, on execution and that path is laid out and I think having Martin join the team helps strengthen our ability to go after that. So I see an operational emphasis and a clear path ahead to get that work done. 
Stephanie Davis: Alright, helpful guys. Thank you.
A - Brent Shafer: Thank you. 
Operator: Your next question comes from the line of Charles Rhyee of Cowen.
Charles Rhyee: Yeah hey, thanks for taking the question. You know, I was curious if you can kind of – you know obviously a year into the pandemic here. You know just kind of give us some updated thoughts on some of the specific growth to markets that you had outlined last year. Have that – you know has any of the opportunities kind of shifted around in terms of what you think are you know better opportunities or you know maybe a little bit less given sort of the dynamics in the market. Any kind of insights there would be helpful. 
A - Brent Shafer: Yeah, it's a great question. I'll speak to both the upside and also talk about some places where I think there are tailwinds. So from an upside perspective, I think inside the four walls of the hospital, big focus on real time hospital systems as Brent talked about in his prepared remarks. That was a big part of surge response and economic recovery. So think about workforce management staffing capabilities, communications, hospital operations. I think all of those areas have seen a lot of COVID related traction and trend.  I think the provider network space is absolutely a focus, both for fee-for-service and fee-for-value use cases. A lot of focus on consumer; we see a lot of traction and trend around our consumer offerings as folks try to think about what does it look like to engage the consumer outside the four walls of the hospital. So those have been areas that have continued to see traction and trend over the course of the last four quarters reflected by our book revenue.  I think there have been some places that have been disrupted by COVID. I think the post-acute space is one that obviously was massively impacted by prevalence data and fatality data and so I think that was a space that was negatively impacted on a four quarter basis. I also think the workforce health space is one that we talked about in the past.  I think employers are certainly thinking a lot about what it looks like to get the right mix of health and care strategies as they think about return to work and hybrid work strategies, but at the same time there's been a lot of disruption around those workforce populations. So those would be two that I think I would put more in the headland or wild card status relative to go forward. 
Charles Rhyee: If I could follow-up on the consumer right, I think one of the big trends in this last year has been you know how do you deliver care into the patient home? Can you talk a little bit more about the consumer offering then and you know so how you're helping your clients really engage their patients you know in more of a home setting? 
A - Brent Shafer: Yeah, I think first of all the big thing that we've attempted to do is to really create plug and play capabilities for our clients around how they think about their engagement strategy. So the ability to leverage both, native software that we build, as well as third party capabilities around things like touchless reg and in-Keg , so that's been a big emphasis.  I think unified communications strategy, sort of omnichannel communications capabilities as a way to reach the consumer has been a big area of emphasis and focus and where we're seeing a lot of book revenue growth. And then finally I think somewhat correlated to that, a lot of focus on CRM and relationship management strategies as folks think about coordination of care strategies across both, traditional venues and non-traditional venues like the home. So those would be some particular areas of emphasis above and beyond things like televisits and telehealth, which had been a feature of a lot of discussions in previous calls around this topic. 
Charles Rhyee: Great! Thank you.
A - Brent Shafer: Yeah. 
Operator: Your next question comes from the line of Sean Dodge of RBC Capital Markets.
Sean Dodge: Thanks, good morning. Mark, you mentioned some of the changes in the EPS guidance for the full year being a higher assumed margin. Can you give us sort of a more detail where you see kind of the incremental opportunity there; whether it’s certain other costs or parts of the organization you think that there are some I guess lower hanging fruit in. 
A - Mark Erceg: No, thanks for the question, I think it's a great one. So for example, you know we talked about the fact that we're putting better management reporting capability sets in place. That's allowing us to really unpack the business in a way that hitherto we haven't had the access to really have had visibility through and see.  So for example you heard us talk in the past about, we have 25,000 features which we’ve recently pounded down into 400 different products. Within those 400 products we had 82 product groups specifically, and what you'll find within those 82 product groups is that the top 25 account for you know greater than 85% of our total product revenue.  So that's just one example of where we're using better data to kind of penetrate and really understanding the business at a more granular level, and we’ll be able to take actions and clear decisions you know based on that knowledge. So there are certainly things that we can do to tighten up the ship and tighten our belts that will not take anything away from our offerings set from our key clients which, is our focus always. 
Sean Dodge: Okay, that's great, thanks. And then one of the big initiatives going back over the past year or so now, we're getting clients current. You talked about the importance of that, just in terms of things like visibility and client satisfaction. Do you have any metrics you can share on how that has progressed? What proportion of clients are now on the most recent versions of Cerner software versus maybe 12 or 15 months ago? 
A - Brent Shafer: Let me ask Travis Dalton to comment. If you could Travis on some of the work going on along those lines. 
Travis Dalton : Thanks, I appreciate it. Yeah, good morning, this is Travis. Yeah, we talked about the last time around, you know we’re focused real heavily in our core market and we're very intentional in our current upload programs, so we got a number of programs going here as we talked about.  We’re working through what we call blueprints where we’re looking at the clinical capabilities and efficiencies with our clients. We’ve got targeted investments in certain solution areas. Pediatrics and others that we think are there in the hospital.  We’re working closely with clients; we just got our Cerner health from, where we had over 5000 participants over several days doing education on net recessions with us. We think that’s important in this environment, to continue to provide through solid communications, on the education and then upgrades as to another portion of our pile up of investment upgrades.  What I would say about it is that you know it's a – it's not keeping clients current and so that is not one thing. It’s like a holistic strategic approach and so we’re approaching it from multiple angles. You know I can't give an exact number of the percentage of our clients, but what I can tell you is that we're getting the vast majority of our clients with – and some capacity with one of those approaches, strategies or tools, in order to make sure we cover the entirety of our client base, the persons having one focus, one program that takes us you know a much longer time to rollout. So I think the comprehensive nature of what we're doing, our approach is, you know I think it’s accelerating our speed, the value to our clients, in keeping them current and relevant. And I'll just make one other note. You know we talked about client currently, but from my perspective you know protection and depending in  base is not our goal. Our goal is to all our clients and as Don noted prior, you know I'm very encouraged that we’re on strategy based on the conversations I’m having with our clients globally, federally and in the U.S. client market. The conversations are trending very much into the things that we're working on and we’ve been a leader and we’ve been ahead out in the industry for a number of decades.  So I think we're in a good place in terms of you know our client's current being competitors and also as it relates to forward looking market trends accelerated by the pandemic. 
Sean Dodge: Okay, that's great. Thanks again. 
Operator: Your next question comes from the line of Kevin Caliendo of UBS.
Adam Noble: Great! Thanks for the question. This is actually Adam Noble in for Kevin. I just wanted to ask you know two questions. One, first on the buyback authorization. Just curious, you guys obviously gave a really helpful target for how much you expect to do this year as you think about the entirety of you know now more than $4 billion authorized total through 2023. That you know, is it the goal of the company to initially complete most of that or all of that by that date or do you think about that target as kind of a big opening and you guys will be opportunistic whether you reach that goal number?
A - Brent Shafer: Thanks for the question Adam. I guess what I would say is a couple of things. You know clearly we had an intention to buy back additional shares, because as I said, when we believe the stock is below its intrinsic value, that’s a good action for our shareholders at large.  Second, we intend to do what we say we're going to do culturally, right. So I think you should think about the targeted date of the end of ‘23. To complete the program is our clear intention. That said, you know things can change, right, and so we have to always be flexible and we don't know what else could happen over that time horizon, but certainly we don't ask to do things or intend to do things that we don't you know expect to fully action. 
Adam Noble: Got you. And I guess related to that yeah, I noticed when you were talking about kind of the updated capital allocation priorities, M&A was third. You guys obviously have this very large share of repurchase authorization that you announced today. Does that signal any change in your kind of focus on strategic M&A or openness to large scale M&A. Just any comment there on that would be helpful.
A - Brent Shafer: No, I wouldn't read too much into that. I think it's a clear point of order that you know the business and the core business comes first, and that's where we'll put our first dollar. But we have the luxury of having a very strong balance sheet, a very strong investment grade balance sheet and we have the ability to do many things and it can meet our criteria. 
Adam Noble: Great! Thanks for the questions. 
Operator: Your next question comes from the line of Michael Cherny of Bank of America.
Michael Cherny: Thanks so much for taking the question. Maybe to build on that last one just a little bit and go back to some of the commentary you had around the data on the server side, what are you seeing in the competitive landscape along those lines in terms of both, other EHR vendors using that as a base versus other non-traditional companies that want to leverage their own various different data sets and drive these incremental business opportunities.  It seems like this is a market that there's a whole host of different entities that are focused on. So can you give us a little more sense as well on where Cerner will be better competitively positioned to win over time?
Don Trigg: Yeah, this is Don. It’s a great question. I think a couple things; one, we’re very happy with where we're at relative to the Kantar acquisition. We closed that acquisition on April 1 and we're very happy with the forward progress around it.  Two, and I think importantly relatively to your point on competitive differentiation, we continue to make very good progress in terms of building out our learning health network to activate our provider base in participating in that strategy around life sciences and pharma. We have 61 members of the LHN representing almost 30,000 beds. So we're ahead of KPI targets relative to approach on the LHN side.  I guess just the final thing I would say is, I look at what’s going on with Truvada and other EMR players who have acquired their way into the space and I see it as very validating of the overall theses around our opportunity to organize one-third of provider healthcare, and create unique opportunities for them around life sciences and pharma. So I see that competitive landscape as validating of thesis and now we need to execute well with the strategic differentiation that I think we do have, and it's playing out.  I guess just one more thing I would say, you heard Travis talk about opportunities around data more broadly defined. I think we're very focused on the life sciences and pharma strategy, but there’s multiple data strategies that I think represent themselves, including some interesting opportunities in the federal space, beyond what we're doing with the VA and DoD. So look for us to continue to think about, how to put data to work and to monetize it in a way that has to Mark's point, attractive margin profiles around it. 
Michael Cherny: Thanks. If can just drill a little bit on the commentary you had around the VA and the federal opportunity, clearly you remain one of the key partners there. There's also been some other dynamics around federal, I should say exactly when Coast Guard was announced, that was one. How do you think about where the remaining federal white space is and if you think about the growth over the next five years from federal, has anything changed on an underlying basis outside of the comments you made on the VA? 
Brent Shafer: Travis, let me ask you to comment on that if you will please. 
Travis Dalton: Yeah, happy to do so. I appreciate the question; this is Travis. Yes, I’ll make a quick note. I mean, we are very pleased as Brent noted in his comments with the operational and the execution progress on DoD and Cost Guard and thanks for noting that, that’s been a successful rollout for us as well. So we are moving forward at speed and at scale with DoD.  The Carson Go-live was 12 states, 10,000 users on a single day; that's a major accomplishment. VA, we support the strategic assessment, that's not being done in the back end. We are working together with the VA daily on that, and so we feel that we’ll come out in a great place with them, in the new administration on a strict schedule and focus around it.  And so in terms of our core on-contract opportunities, we feel very good about the progress we're making and our ability to deliver our promises and requirements. As it relates to growing the federal business, and where we see that, our strategies has been the same. Number one, it’s delivering on our promises and continue on contract growth. We've got you know a multi-billion dollar opportunity on our RDIQ, VA and DoD and that hinges on our keeping our commitments and promises.  We've got new requirements, white space, and new opportunities. With the DoD we got opportunity that help , we got opportunity with solutions that we’ve been discussing this morning that hang off of that platform, that aggregation layer, and we are in active conversations with them. So I see us having a good possibility there.  TRICARE remains a great opportunity for us in value based care space. I think that we're well positioned with our platform, with our data aggregation capabilities, to be a material, to provide longitudinal record and bring those clinical impaired data sets together for them and where material in that conversation. And then ultimately they are still in new footprint opportunities, renewed health services is one of the last remaining divestures within the system. We’ll likely make a decision and then we did sign an opportunity in our first quarter with CDC around real world data.  I believe Don mentioned it, and so we’ve got a rich data set as you can imagine and so CDC and others are active and interested in that. So we do view data as an opportunity for us on a go-forward basis. So I think we’ve got multiple threads of opportunity in the federal business. 
Operator: Your next question comes from the line of El Samuel of JP Morgan. 
El Samuel: Hi guys. Thanks for taking the question. I was hoping, you know maybe you can provide a little bit more color around this VA strategic review. Just in terms of what maybe some of the potential outcomes might be, and is there any potential for impact beyond this year? Thanks. 
Travis Dalton: Sure, this is Travis. So yes, this is an expected I think outcome of the new administration. This is one of the – this is the most strategic and largest program the VA is undertaking right now. And so really I think the review is focused in a couple of core areas. One is, again looking at and evaluating the contract. So are we – are all the things we set out to do three years ago, the things we set out to do today and we are working though that and we are making progress. But I think we'll be doing strength of schedule evaluation, so we'll be looking at the full schedule. You know it's not loss on anyone that we've actually been able to accelerate our DoD rollout in the out years once we’ve been able to harden the solutions set. So I think that you know we can look at the schedule holistically. We think we are in a good position to possibly accelerate the rollout in the years five through seven.  But in the short term, it will cause some wave activity to push to the right, because we are undergoing the 12 week assessment and Mark noted that in this comments. But ultimately again, I just believe that we’ll come out with a clarified schedule with them, clear KPIs that we are going to hold ourselves accountable to and a clear focus collectively with the new administration and leadership. So I think that's the direction that we're going with some short term headwinds, long term tailwind, potentially. 
El Samuel: That's really helpful. Thanks very much. 
Operator: Your next question comes from a line of Eric Percher of Nephron Research. 
Eric Percher: Thank you, and welcome to Mark. With the focus on succession, I think we may have missed an opportunity to hear a bit of your early thoughts on process and goal posts. I know when it comes to long term revenue, which is a key question for the company right now, hence it’s typically a point where we get into some of the details, the targets this year. Do you feel like that's a good point for us to look for your perspective on where we go forward or what can you tell us about your process? 
Mark Erceg: Thanks for the question. I guess I would offer a couple of things. One, it's still early days right. I've had at this point eight weeks under my belt and so I have a lot to learn and there's a lot that I continue to absorb and take in as I formulate my own views as it relates to that.  Second, I guess what I would say is, I think we have all the tools here to be very, very successful, you know in the years ahead. We have nearly 3 million healthcare providers in each Cerner system each and every day. We have 25,000 associates who have an unparalleled and unmatched knowledge of the healthcare and IT intersection. You know we’re the top provider of IT to the federal government; we lead the acute EMR global market with 2,400 in-patient facilities worldwide; we have a strong balance sheet; we have 600 patents; we have $800 million a year we invest in R&D. I mean we have all the tools, and we have a team, right.  So I think we're going to be able to do considerably better vis-à-vis our shareholders in the years ahead, because there’s a clear acknowledge that on the CSR front you know we haven’t necessarily always delivered and this is a team that is committed to delivering for our clients and for our shareholders. So I would simply say, you know stay tuned and good things are coming. 
Eric Percher: I appreciate that. 
Operator: Your next question comes from the line of Elizabeth Anderson of Evercore. 
Elizabeth Anderson: Hi guys. Thanks so much for the question. I was wondering how you view sort of stock compensation in terms of the total compensation for employees in your different areas. Like how do you see that trending as we go forward, just as it impacts the operating margin line would be helpful.
Brent Shafer: You know it’s a great question. You know look we are an IT company, we compete for IT talent and it's typical that in IT firms that you have equity fairly broadly distributed throughout the associate base in order to keep them fully aligned with the company goals and objectives. That's always been Cerner’s approach, and we have used that at times in lieu of salary increases.  So we will obviously continue to want to use that as part of the mix. We’ll need to make sure that we balance that and that we do it in a way that is representative of our deliverables to our shareholders themselves. You know one could argue that over the last several years when our TSR hasn't really performed that maybe we were a little bit too generous in that regard, because we are clearly a pay-for-performance company, and the compensation committee and the board has made it clear that they are going to hold the management team accountable for performance in the years ahead, and with that understanding, I think equity will remain a key part of our compensation package, but we have to perform. 
Elizabeth Anderson: That’s helpful. Thank you. 
Operator: Your next question comes from a line of Steve Halper of Cantor. 
Steve Halper : A couple of housekeeping questions. So when you provide the guidance of $3.20 or greater than $3.20, is there an explicit sort of estimate for the potential delay in some of the VA revenues or is that – you know that will sort of determine as a TBD. 
Mark Erceg: No, we’ve taken all of that into account. So all the information that we know presently which Brent commented on and which I comment on in our prepared remarks. We think we probably lost somewhere between a half point and full point of revenue, you know based on the work that's going on, which again we fully support, so that's contemplated in our new guidance range. 
Steve Halper : Great! And then also in terms of your housekeeping, the CapEx line increased somewhat from the fourth quarter as well as the capitalized software costs. Could you just give us a little bit more detail on the increases? 
Mark Erceg: Yeah, some of the capitalized software increase you're seeing relates to the 21st Century Cures Act where we have brought in some additional third parties to help us manage that since there's a relatively short time frame to get a lot of work done, and that's what's really bumping that up a little bit in the here and now. 
Allan Kells : And Steve, if you are talking about the, on the actually cap – this is Allan. On the CapEx line aside from capitalized software, that is up a little bit and that's a little bit of COVID. We pushed out a lot of CapEx last year and there's just a little bit of catch up on data center CapEx in Q1, but for the year, you know CapEx should still be down when you look at it for the year. 
Steve Halper : Great! Very helpful, thank you.
Operator: Your next question comes from the line of Jeff Garro of Piper Sandler. 
Jeff Garro: Yeah, good morning and thanks for taking the questions. I want to ask about M&A, and I appreciate Mark's framework for M&A consideration. I want to ask him as well as the rest of the team if there are any strategic areas that will get a deeper look under that financial framework. 
Don Trigg : Yes, this is Don and that’s a great question. I think we continue to like RTHS related strategies inside the hospital. I think you're going to continue to see us think about and focus on provider network activation strategy outside the four walls of the hospital, that’s a space we’ve talked about throughout the morning as having significant trend and that includes strategies around the home as venue. And then you know we're still very energized by what's playing out around the database and secondary data use strategies.  So all three of those areas are line of sight in terms of where we see the growth potential for the business and as Mark framed out, part of the dialogue that we’ll have around how we deploy capital and put it to work with the right return profile.
Jeff Garro: Excellent! That helps and may I follow-up there by asking about healthy referral? That’s a product that, I believe came from an acquisition that was small enough that you didn't need to disclose it last October, but it's already making a mark. So I would be interested to hear about traction there and I think Travis might have alluded to it in the context of the VA, which is pretty interesting, but then also more broadly just the ability to integrate cloud native and EHR Agnostic Technology that's required in healthy impact. 
Brent Shafer: Yes look, Mark alluded to it. I think there's large strategic M&A activity and then I think we're also going to be smart in terms of thinking about tuck-ins as a component part of how we create total solution offering strategies, so that's certainly going to be a part of how we think about putting capital to work at a broad level.  And then at a micro level relative to healthy referrals, look it's a great use case around what's playing out from a provider network perspective. It's an opportunity for our clients to really think about how they manage referrals for key service line areas, CV, oncology, neuro, orthopedic. So they are figuring out how to manage supply/demand dynamics around that provider network as they recover from COVID. But it also begins to really help them understand what would it look like for me to take elevated rates of first dollar risk as part of a value strategy.  And so what we're excited about in the provider network space is the chance to help our provider clients, navigate that transition, maximize fee for service, but also begin to prepare for ships and payment. And then just the last thing I would say is, that the big opportunity from a growth perspective that Travis and I think and talk about every day is Mark’s right, we do have an enviable position with one-third of U.S. provider organizations, but there's a huge addressable market for us outside of the scope of our Cerner millennium base and part of what growth needs to look like for us going forward is strategies to address that piece of the market and referrals is a good example of how we can do that. 
Jeff Garro: Excellent! Thanks for that. 
Operator: Your next question comes from a line of George Hill of Deutsche Bank. 
Unidentified Analyst: Hi! It’s Maxi  on for George. Thanks for taking the question. So last quarter you talked about the company expects around 15% CAGR in the strategic growth business with 2020 as the new baseline. Could you provide some more update on how the business is performing relative to your occupation, particularly Lumeris. Thanks. 
Mark Erceg: You know I think at the end of the day we expect strategic growth to lead the company in its total revenue progression. We have targeted to have that segment grow at you know 20%-plus per year. That will very based on a combination of organic growth and not organic growth depending on the circumstances.  We are very pleased with Kantar Health acquisition, which we just recently closed on and expect that to contribute about $40 million per quarter, about $125 million of incremental revenue this year. So I would think the strategic growth business is collectively taken. It will probably grow closer to maybe 30% this year, but it will very you know as we go forward. 
Operator: Your next question comes from the line of Robert Jones of Goldman Sachs. 
Jack Rogoff: Great! Thanks for taking my question. This is Jack Rogoff on for Bob. I wanted to ask if the strategic review with the VA, if those impacts to revenue affect mix one way or the other as it relates to margins in 2021.
Allan Kells: Yeah, this is Allan. Yes, there is some software that would have been included in that, but also some services side. I don't think as a whole company level, probably not a huge impact on mix, but there's certainly some high margin mix within that that we are offsetting. But all of the work on the margin front is obviously more than offsetting any margin impact that that mix shift would cause. 
Jack Rogoff: Makes sense, thanks. And then it looks like the implied back half guidance has a step-up in the level of revenues versus the second quarter. Can you describe what drives that? Is it seasonality, is it the impact from the VA or is there anything that has to get better in the underlying business in the back half? 
Brent Shafer: Yeah, I think a big part of that is the Kantar comes in Q2, and there is really, there is slight sequential increase factored in the next few quarters, but nothing that substantial, other than you know getting back on track on VA as you roll through the year and sort of getting that ramp continuing. So it's not really anything unusual relative to sequential revenue increases as you go Q3 to Q4. 
Jack Rogoff: Great! Thanks a lot. 
Operator: Your next question comes from the line of Richard Close of Canaccord. 
Richard Close: Yes, thanks, Richard Close here. The lower software called out for the first quarter, is there any more details you can provide on that. And then second question Mark is maybe on the margin expansion expanding on Sean's earlier question. Longer term getting to that mid-20% level, are the efficiencies there that have been put in place so far, are those the main drivers and anything that maybe you put your hands on here and now that you're in the role of the CFO could drive that even higher than the mid-20% level. 
Mark Erceg: Sure, thank you. I'll answer the second quarter, and then I’ll let Allen common on the first. So I talked earlier about the need for us to really put in place world class management reporting systems. Another good example of where that's going to be invaluable is in our areas of R&D spend. You know in the last three years we spent $2.5 billion in R&D and the simple truth of the matter is, we haven't had the internal systems to allow us to take that spend all the way down to the individual product or project level, and our ability to do that going forward is going to dramatically enhance our ability to monetize that R&D investment.
Allan Kells: Yeah, and on the software commentary relative to the quarter. I mean keep in mind we're reconciling a $7 million difference relative to the midpoint of our guidance, and we mentioned three things. So I wouldn't site software as a huge impact in the quarter, so you could pick a lot of different things, but it was just, it was one of the few things that led to it being slightly below where we expected. 
Richard Close: Okay, thank you. 
Operator: Your next question comes from a line of Ricky Goldwasser of Morgan Stanley.
Ricky Goldwasser : Yes hi, good morning. I have a couple of questions. Brent, the first one is for you. When you sort of reflect on a time at Cerner, and clearly you talked about sort of the shift in strategic direction, but what do you think has been sort of the limiting factor to further sort of accelerate the shift? And then the second question refers to something that Mark mentioned earlier on, in an idea that you're competing for Techtel; I mean clearly it's a very hard market. So what are you seeing there in terms of that supply of individuals? Thank you. 
Brent Shafer: Yes, no, I appreciate it. Well, I think you know going back to three years ago coming in the door, there's so much opportunity in Cerner, but in a lot of ways our systems and our ways of operating were not really conducive to speak. They've been built up over time, and at this scale we are not very efficient. So it sounds kind of mechanical, but there's been a fair amount of time getting an operating model in place that’s clear, it is understandable when accountability is deployed throughout the organization.  And so the intent to move is pretty clear. The ability to move quickly requires organization alignment and great execution, and so I think we have – we are in a much stronger position to do that today and are ready to do that, and have a leadership team ready to move that forward. So I think the stage has been set and the direction is clear and the ability to accelerate now is in front of us.  So on your second question about talent, yeah there's definitely a global war for talent in tech and we all know that. So we are doing everything we can to make sure that we're an attractive employer for our associates, that this is a place that you can come and not only contribute to technology, but you can make a difference in the world, because its healthcare and that's somewhat unique. You know in a lot of the other places in Tech, it may not be that bold a charter, but that is our mission and I think for especially technical talent that wants to be part of chaining the world, make it a difference, this is a great fit.  And so we're very much interested in getting that word about us as an employer and we're proud of some of the progress in our culture over the last year, and some things our associates have done to make a difference during COVID and to make a difference in the community, so – but it's a competitive landscape for sure. 
Operator: Thank you. Your final question comes from the line of Jonathan Young of Barclays. 
Jonathan Young: Thanks for squeezing me in here. Just on the operating margin, the 20% by 2024, given you are accelerating some of your operational improvements, is there a possibility that we could see that come in ahead of that current schedule time line. And then secondly you also mentioned going deeper down into your product portfolio and viewing what adds value to clients, does that suggests that you made that addition product set or is this more from a cost savings perspective? Thanks. 
Mark Erceg: I guess I’d offer a couple of things. You know at this point we have been able to reaffirm our pre-COVID commitments to our margin expansion endeavors. Whether we get there sooner than that, you know time will tell, but we are acting with a sense of urgency and we believe that we have a great opportunity in the years ahead to monetize all the investments that have been made to-date and to great leadership levels of TSR, that’s our clear objective.  As far as the product and portfolio review, you know with better data we are able to sharpen our thinking, and I think it will be a combination of various matters all the time balancing our internal needs for profitable growth with our client’s needs in order to better service the healthcare industry, which is our mission. 
Brent Shafer : Alright, I think that’s it. Thank you everybody for joining us and we look forward to talking to you next quarter. 
Mark Erceg: Thank you, all. 
Allan Kells : Thank you.
Operator: Again, thank you for participating in today's conference call. You may now disconnect. 